Operator: Good morning. And thank you for standing by. Welcome to Resolute 's First-Quarter Earnings Call. Following today's conference, there will be a question-and-answer session. . I will now turn the call over to Marianne Limoges, Treasurer and Vice President Investor Relations. Please go ahead.
Marianne Limoges: Good morning. Welcome to results first-quarter earnings call. Today, we'll hear from Remi G. Lalonde, President and Chief Executive Officer, and Sylvain Girard Bulkier, Vice President and Chief Financial Officer. You can follow along with the slides for today's presentation by logging on to the webcast using the link into presentations and webcast page under the Investor Relations section of our website. And you can download the slides. Today's presentation will include non-U.S. GAAP financial information. Our press release and the appendix to the slides include a reconciliation of non-GAAP information to U.S. GAAP financial measures. We will also make forward-looking statements. Forward-looking information is based on our current assumptions, beliefs, and expectations, all of which and for the number of business risks and uncertainties, and can change as conditions do. Please review the cautionary statements in our press release and on Slide two of today's presentation. I will turn the call over to Remi.
Remi G. Lalonde: Thank you Marianne. Good morning. And thank you for joining us. Today we reported $270 million of adjusted EBITDA in the first quarter compared to $111 in Q4. The results reflect favorable pricing momentum in each of our segments, particularly in wood products and paper. Unfortunately, transportation network improvements were slower than expected. This is especially true in Quebec where most of our production is based, which has led to lower sales volume and higher inventory levels. By segment, we reported adjusted EBITDA of $230 million for wood products up by $138 million, $26 million in market pulp up by $1 million minus $4 million in tissue down by $3, and $34 million for paper, up by $22.  We further strengthened the balance sheet with significant cash generation in the quarter and we improved the competitiveness of our business with two tuck-in acquisitions in the wood products segment, namely, the other 50% of our engineered wood partnership, allowing us to lock in the downstream integration of over 60 million board feet of lumber capacity and the co-generation facility, adjacent to our center sawmill, which allows us to maximize the use of biomass from our regional operations, generate green power, and further enhance our competitiveness in the Abitibi region.  With our strong balance sheet and liquidity well over $1 billion, we have significant flexibility to generate long-term value for shareholders and to drive sustainable economic activity in the communities where we operate. Let's talk about our individual businesses, starting with wood products. First quarter, U.S. housing starts reached $1.8 million on a seasonally adjusted annual basis, up by 5% from the previous quarter. Benchmark lumber prices were strong but volatile during the quarter, and the transportation network has been sluggish. Our average transaction price rose to $1022 per thousand board feet, an increase of $410 or 67% from the previous quarter. Production improved by roughly $35 million board feet in the quarter. And we added $12 million board feet equivalent with the new I-Joist capacity. The shipments were $86 million board feet lower due to limited rail car and truck availability, particularly in Quebec which pushed finished goods inventory up by $97 million board feet to $223 million. We continue to work hard to adapt to ongoing challenges in the transportation network and we expect to gradually normalize inventory levels over the second half of the year, starting with a significant improvement in shipments in the second quarter. While underlying fundamentals for building materials remain positive, we are mindful of inflationary pressure and rising interest rates which could affect pricing and margins. Global demand for chemical pulp through February rose by 1%, with demand for hardwood up by 2%, and softwood down by 2%.  While Chinese demand has been softer year-t - date, North American and European markets have been resilient. Our average transaction price increased by $9 per metric ton, and our shipments were 28,000 metric tons lower, which reflects the capacity curtailment at Calhoun and significant logistics constraints. As a result, our finished goods inventory rose by 23,000 metric tons. We expect to see a marked price improvement in the coming quarter based on publicly available price announcements. This trend is the result of logistics challenges, the global geopolitical environment, and the accumulation of significant unplanned industry downtime. Accordingly, we expect our margins to widen, but their timing of maintenance will offset some of the positive impact in the second quarter. We expect to gradually reduce elevated inventory levels over the course of the year starting with a modest increase in volume in the second quarter. Through March U.S. at-home tissue demand improved by 4% and the away-from-home segment grew by 6%, but to levels still well below pre -pandemic demand. Our average transaction price increased by $47 per short ton, or 2% in the quarter due to better product mix and shipments rose by 1,000 short tons. We expect rising pulp costs in the second quarter to offset incremental average transaction price gains and shipments to remain similar. North American demand for uncoated mechanical paper increased by 7% in Q1, mainly due to great substitution, but newsprint slipped by 6%. Our average transaction price for paper rose by $37 per metric ton, or 5% in the quarter due to favorable market conditions in all grades.  Our shipments fell by 22,000 metric tons, largely reflecting the capacity curtailments at Calhoun. Finished goods inventory remained elevated at 85,000 metric tons as a result of limited railcar and truck availability. Paper pricing conditions are strong due to limited supply, the macroeconomic environment, and logistics constraints, but we expect higher prices to be partly offset by higher planned maintenance in the quarter. I will now ask Sylvain to please discuss our financial performance.
Sylvain Girard: Thank you, Remi. We reported net income of a $177 million in the first quarter for $2.26 per share, excluding special items. This compares to net income excluding special items of $37 million or $0.48 per share in the previous quarter and net income excluding special items of a $119 million or $1.45 per share in the same period last year. Special items in the first quarter included $45 million and other income, mostly due to a gain on our 50% equity interest in the Resolute LP I-Joist partnership in connection with the acquisition, $7 million in non-operating pension and other post-retirement benefits costs, and $4 million in floater-related charges for the indefinite idling of the Calhoun mill. Compared to the previous quarter, our results include the favorable impact of $7 million from the indefinite idling of pulp and paper operations at the Calhoun mill, which occurred early in the first quarter. We reduced our 2022 cash closure cost expectations for Calhoun mill pulp and paper operations on to $22 million from $32 million. Total sales in the quarter were $945 million dollars up by a $111 million compared to the fourth quarter, reflecting higher realized prices in all segments, partially offset by lower shipments as a result of logistic constraints, and the indefinite idling of our Calhoun pulp and paper operations.  Mainly driven by higher log costs, manufacturing costs rose by $23 million in the quarter after removing the impact of volume, including the capacity curtailment at Calhoun and foreign exchange. Compared to the fourth quarter, all-in delivered costs for the wood products segment rose by $77 per thousand board feet, or 17%, mainly reflecting higher stumpage fees I'm already saying expenses. EBITDA in this segment improved by a $138 million to $230 million. In the market pulp segment, delivered costs decreased by $8 per metric ton, or 1%. EBITDA in the segment improved by $1 million to $26 million. The delivered costs and tissue increased by $141 per short ton, or 7%, mostly due to higher pulp prices, including the loss of direct pulp integration as the Calhoun mill. EBITDA for this segment fell $3 million to negative $4 million. Paper's delivered costs decreased by $47 per metric ton, or 6%, due to lower overall operating costs, following the curtailment at Calhoun, partly offset by a higher freight costs. A design for this segment improved by $22 million to $34 million. We generated a $147 million of cash from operating activities in the quarter, despite an increase of $67 million of inventory mainly as a result of logistic constraints and the seasonal buildup of logs ahead of this spring breakup. We expect log inventory to come down during the second quarter. And for finished goods inventory levels to gradually normalize in the second half of the year. In March, we completed the acquisition of the I-Joist partnership for $50 million net of cash acquired and working capital adjustments. We made $30 million in capital expenditures during the first quarter and maintain our $130 million target for the year.  We also made $42 million in softwood lumber duty deposits in the quarter, bringing our total deposits to $440 million which is recorded in other assets on the balance sheet. On April 6, Moody's announced the credit rating upgrade to DA3 from D1 with a stable outlook, as a result of our improved financial performance and leverage. The strong cash flow generation in the quarter, our net debt fell to only $140 million at quarter-end with a leverage ratio approaching zero excluding pension, and our liquidity was over $1.1 billion. Finally, we contributed $20 million to pension plans in the quarter and made OPEB payments of $3 million. Considering the significant increase in  since year end, if the year were to end on March 31, the pro forma accounting deficit would have been $825 million down from the $1 billion 41. On the other hand, the funding deficit increased to $525 million due to Q1 market performance. We will conduct a formal revaluation of the accounting position only at year-end in accordance with U.S. GAAP rules.
Remi G. Lalonde: Alright. Thank you. Sylvain. Our strategic objective for the company remains focused on growing our wood products and pulp businesses and on driving further improvements in our overall asset performance. To that end, our current priorities in wood products are integrating our recent acquisitions in Quebec, continuing to enhance productivity in our U.S. saw mills, and investing in our assets with strategic capital projects and ensuring their disciplined execution. For pulp, we are driving operational efficiency and productivity, and investing strategically to grow capacity organically. Following the indefinite idling of pulp and paper operations at Calhoun, we indicated last quarter that we would review strategic options for the tissue business. As part of this exercise, we recently launched a sales process to explore divestiture options. In the coming days, we will start main-table bargaining with union leaders representing many of our Canadian pulp and paper employees. Our union partners have been instrumental in our progress as a company and their contribution is critical to our continued success. We look forward to a constructive, open, and collaborative dialogue. Building on our shared goal is making sure Resolute remains an employer of choice, and a successful company contributing to vibrant communities. In closing, I'm pleased to confirm that we surpassed our 30% absolute GHG emissions reduction target, cutting them by 34% of 2015 levels.
Marianne Limoges: This concludes our formal presentation. Operator will now open the call for questions.
Operator: Thank you. . Your first question comes from the line of Hamir Patel, of CIBC Capital Markets. Please go ahead.
Hamir Patel: Good morning. Remi, there's been a unprecedented array of paper and newsprint heights in recent months. Will that eventually hit your entire domestic paper business or do you have some long-term legacy contract prices that may limit the upside to realizations?
Remi G. Lalonde: No. We're -- I mean, we are always trying to get win-win deals with our customers, Hamir, but I would tell you that there are not too many long-term contracts that would limit the upside we do. As you could see in this quarter, have realized a significant improvement in pricing and we expect that to continue. So there aren't many long-term contracts that would limit our upside there.
Hamir Patel: Okay. Great, thanks Remi, that's helpful. And just on the tissue strategic alternatives process, do you have a sense as to when you would expect that process to conclude?
Remi G. Lalonde: No, not yet Hamir. I mean, we've launched it. And so we need to let the process follow its course, and we'll see it through, but I don't have anything to report as of yet, and I'm not quite sure yet how long it'll take to work it through.
Hamir Patel: Okay. Fair enough. Thanks. That's all I had. I'll turn it over.
Operator: Your next question comes from the line of Kaseya Computech(ph ) of TD Securities. Please go ahead.
Tasha Lynch: Hi. Good morning, everyone. It's Tasha  for Sean. First question is from cost inflation.
Remi G. Lalonde: Hi, Tasha. Good morning.
Tasha Lynch: Hey, good morning. You guys been able to talk about inflation and just how that trended this quarter relative to knew what you were expecting heading into the quarter?
Remi G. Lalonde: Yes. No, absolutely. So what we were expecting last quarter was for a slight reduction in energy prices as a function in natural gas prices. We're expecting fiber to go up just on the basis of lumber prices, and freight also to come up. And what actually happened is an increase in total costs by $23 million, all of which really came from a higher log costs as a result, as we indicated, of stompage fees for higher lumber prices. And we also saw increase in freight costs as a result of the logistics constraints that we've been talking about, and a slight uptick in energy prices. On the favorable side, we did get the benefit of removing Calhoun as a result of the indefinite idling of pulp and paper operations there. And we saw a bit better on power generation and lower SG&A because in the last quarter we recorded a mark-to-market for some of the equity-based compensation. So that's the key items. In terms of what we expect in the quarter ahead, we -- stumpage fees will be a function of lumber prices. We expect that freight costs will remain elevated because we still have a high inventory facing some challenges around logistics constraints. And we are expecting an uptick in maintenance costs as we head into just normal spring maintenance season.
Tasha Lynch: That's very well. And just on that last point, any guidance you can provide in terms of  for the maintenance?
Remi G. Lalonde: In pulp and paper I would be looking for plus $20 million quarter-over-quarter.
Tasha Lynch: Okay. Great. And then you spoke a lot about sales logistics constraints and I expect inventories to gradually normalize over the course of the year. Did you take any gas in this quarter related to shipping constraints and maybe on -- pardon me. How is your platform running now? I think you referenced 233 million forest feet as finished goods, inventories in lumber. Is that historically elevated? If you 
Remi G. Lalonde: Yeah.
Tasha Lynch: On that.
Remi G. Lalonde: That's a good question Tasha. So for us the logistics constraints are reflected in excess inventory. And so we have, as we talked about finished goods here of $57 million on the balance sheet from last quarter. And we had higher freight costs of $8 million. We did not have any significant production interruptions as a result. So we're really building inventory. So the way we think about it is that this is really EBITDA deferred as opposed to denied. And 223 million board fee of inventory for the lumber business I would characterize as very high. It's about double what it was at the end of call it 2020. So we'd like to keep it, let's say, 100 million to 125 million board feet, so 225 is on the high side. So it's going to take a little bit of time before we can get all of that distributed, but we expect to work it down over the second half of the year, starting with the modest increase in shipments here in the second-quarter. Actually, in the lumber business, we expect a significant increase in shipments, about a 100 million board feet.
Tasha Lynch: That's good detail, thanks very much. And last one from me, just roughly speaking, just strategic  already, but where does M&A figure in your strategic pecking order? And how do you look at returns at  for this year  you guys still have most of the $100 million buyback authorization,  remaining aside, if I recall correctly?
Remi G. Lalonde: I mean, M&A is a tool that we used. And so if you look at say in the first quarter, we bought out our partner in the I-Joist business and we acquired a co-generation facility in the Abitibi region to tactically improve the competitive position of our lumber business. We also did buy the three U.S. saw mills from Conifex two years ago. So we always think of M&A in terms of value-added synergistic acquisitions. But it has to make sense for us. But the way that we think about it, Tasha, is rather than looking at M&A with significant valuations where your return expectations are only slightly better than your cost to capital, it forces us to look inward and to realize that some of our highest return opportunities are investing in our own assets and growing them organically. Which is why we've got a fairly full pipeline of capital projects. We still expect to make about a $130 million of investments this year, including the projects in the lumber business that we announced last summer. And those are really high return projects that we're pretty excited about. So we want to take a balanced approach to capital allocation. You talked also about some of the things that we're doing around share buybacks, which we've been active on, and debt reduction too. But the big picture for the company is that we had very strong cash generation in the quarter. And we're getting pretty close to having a net cash position, which when you look at the history of the companies is a pretty good thing.
Tasha Lynch: Great. I really appreciate all the detail. I'll turn it over.
Remi G. Lalonde: Thanks Tasha.
Operator: Your next question comes from the line of Paul Quinn with RBC Capital Markets. Please go ahead.
Matt McKellar: Alright. Good morning. This is Matt McKellar on for Paul Quinn. Thanks for taking my questions.
Remi G. Lalonde: Hi Matt.
Matt McKellar: First to get your thoughts on the sustainability of paper pricing here and how you would expect pricing to evolve over the near and medium-term given the limited supply and logistics constraints you mentioned.
Remi G. Lalonde: Well, we think that paper prices are strong and will continue to be strong. There are, as you indicated, a number of factors involved in that. We have increased our expectations around the free cash flow generation from the paper business in the next five years. Just on the basis of how tight conditions are, especially in 2022 and 2023. Paper is obviously very impacted by capacity, and we think in today's environment, bringing additional paper capacity can be challenging. We're certainly not planning to bring additional paper capacity. If you think about the cost inflation around energy, chemicals, logistics, the costs of and availability of labor, there's a lot of challenges around bringing additional capacity online, so the secular decline trend will remain. But we think that our runway for the next couple of years remains healthy and we're still very encouraged by the free cash flow potential from that business for the next few years.
Matt McKellar: Great. Thanks very much. It's really helpful. Maybe next, just wondering if you have any refreshed outlook for the engineered wood products business, including whether you're thinking about your business? Any  now, following the acquisition, your partners 50% interest, and how you're thinking about contribution in growth there going forward?
Remi G. Lalonde: Well, I can tell you that the business generated $12 million of EBITDA in the first quarter. So we're pretty excited about bringing the I-Joist business in the family, if you will. As you know, it was an equity pickup before. So this is the first time that we're including the EBITDA. I think that the underlying fundamentals for the I-Joist business really key off of building materials forecasts. And so if you think about the underlying trends that are driving demand in the lumber market, the historical longer-building in the last decade, the demographics that are favorable to the future, we think it's a good place to be. The additional benefit for Resolute is that it allows us to integrate downstream $60 million board feet of lumber capacity in-house. So we're pretty excited about the business.
Matt McKellar: Okay. Thanks very much. That's all from yo., I'll turn it back.
Remi G. Lalonde: Okay. Thanks, Matt.
Operator: And there are no further questions at this time. Madame Limoges, I turn the call back over to you.
Marianne Limoges: Thank you. Thank you, everyone, for joining us today. We wish you great day.
Remi G. Lalonde: Thanks.
Operator: That concludes today's conference call. You may now disconnect your lines.